Operator: Hello. Thank you for standing by and welcome to Papa John's First Quarter 2022 Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your speaker today, Chris Collins, Vice President of Treasury and Tax. Please go ahead.
Chris Collins: Thank you. Good morning. Joining me on the call today are President and CEO Rob Lynch and CFO Ann Gugino. Rob and Ann will comment on our business and provide a financial update after the prepared remarks, both will be available for Q&A. Our discussion today will contain forward-looking statements involving risks that could cause actual results to differ materially from these statements. Forward-looking statements should be considering in junction with the cautionary statements in our earnings release in the risk factors included in our SEC filings. Please refer to our earnings release in the Investor Relations section of our website for a reconciliation of non-GAAP financial measures discussed on this call. Finally, we ask that any members of the media be in listen-only mode. Now, I'd like to turn the call over to Rob Lynch for his comments. Rob?
Robert Lynch: Thank you, Chris, and welcome everyone to our first quarter 2022 earnings call. I'm proud to say that Papa John's delivered another quarter of outstanding results in Q1 in spite of an unpredictable operating environment that went from one unprecedented global challenge to the next. The Papa John's system continued to grow, lapping last year's record Q1 sales and outperforming the pizza industry for a 10th consecutive quarter. I continue to be amazed by our team members and franchisees dedication and hard work, serving great pizza to our millions of customers worldwide. I'm grateful for their commitment to building this brand and creating the best pizza company in the world. For me, our Q1 results are a testament to the power of incredible execution, winning innovation, values-based culture, and our differentiated brand. Together, these strengths continue to fuel Papa John's impressive sustainable growth trajectory. This morning, I'd like to discuss three key topics. First, our Q1 results and the extraordinary business environment that we're navigating. Second, Papa John's differentiated strategy and how we're leaning into it to drive sustained our performance in a constantly changing environment. And third, our outlook for the remainder of the year and beyond based on current macro trends and continued execution of our strategic plan. And we'll then provide further  financial results and outlook, especially on margins and the bottom line.
Chris Collins: Beginning with our strong Q1 results. Q1 started with great momentum coming off a record fiscal 2021, when we were already navigating a continued tight labor market and accelerating commodity inflation in the back half. In January of this year, Omicron exacerbated labor shortages across the economy. And our restaurants were at their lowest staffing levels since the beginning of the pandemic. Then in February, as Omicron declined and staffing levels began to recover to end-of-year levels, the conflict in Ukraine shocked the global system, triggering an acceleration in commodities and fuel inflation. By March, businesses across the industry and globe, including Papa John's, faced yet another new normal. Despite these challenges, and as we've done since before the pandemic, Papa John's continue to consistently grow and outperformed last quarter against the challenging backdrop. In Q1, we delivered solid growth, building on a record first quarter last year, when we introduced our biggest innovation ever, an Epic Stuffed Crust, and also benefited from government stimulus programs. Global system-wide sales rose 5.3% in constant currency to $1.3 billion on top of 26.6% gains a year ago. Comparable sales were up 1.9% in North America and up 0.8% internationally, lapping prior year gains of 26.2% and 23.2%, respectively.
Robert Lynch: We achieved these results despite the challenging staffing environment in our restaurants. I'll elaborate on this and other key drivers in a moment. Our development program, critical part of our growth engine also continued its momentum, fueled by the brand's strong AUVs and unit economics. Last quarter, we opened 62 net units worldwide. Accelerating unit growth over the past year contributed approximately half of our system-wide sales gains. I'm also proud that thanks to our strategic pricing action and agile supply chain and disciplined financial management, we are able to grow EPS and sequentially improve operating margins in line with a view that we shared in February. For yet another quarter, we demonstrated how Papa John's team members and franchisees executing our differentiated strategy, our driving sustainable growth in delivering great value for our customers, franchisees, and shareholders in a constantly changing world. Now I'd like to speak to key components of our growth strategy and how we're addressing the opportunities and challenges in the current environment. Our multifaceted menu innovation strategy continues to be the cornerstone of our brands differentiated, premium position. And a key driver of last quarter's continued comp sales gains against the backdrop of last year's record sales. New York Style crust was our big product launch in Q1 and it exceeded our expectations.
Chris Collins: It has proven to be popular and incremental, both in terms of transactions and ticket as it appeals to a distinct segment of pizza lovers who appreciate larger slices and a thinner, stretched crust. We also saw continued strength from Epic Stuffed Crust for a fifth consecutive quarter, despite not being on national promotion. This demonstrates how our strategy of building new menu platforms create sustainable, incremental sales layers in our business. Two weeks ago, we launched Epic Pepperoni Stuffed Crust, an exciting LTO, which we expect to be a big addition to our Epic platform over the summer. Pepperoni is our most popular topping. And as the name says, Epic Pepperoni Stuffed Crust, hand stuff's pepperoni and cheese into our fresh, never frozen original crust. The results to date are extremely promising, especially with our loyalty members. For the remainder of the year, we have a number of other significant LTO and long-term platform launches lined up as we leverage menu innovation to engage and create value for our customers, driving both long-term ticket and transaction growth. Digital innovation is another lever we are pulling to drive sustainable comp sales. This year, we have leaned into our loyalty program, Papa Rewards, and are investing significantly in our personalized targeting capabilities to drive frequency and lifetime value with our loyal customers.
Robert Lynch: We continue to actively expand the program. We promoted exclusive members-only access to Epic pepperoni stuff crust before it launched, successfully adding nearly 150,000 new members during a one-week early access period. As of last week, we have over $24.5 million Papa Rewards members. Also on the digital side, our deep aggregator partnerships and integrations continue to drive incremental and profitable transactions. As we've previously discussed, aggregators provide another channel to meet our customers where they are, not to mention additional delivery capacity at peak times. Aggregator marketplaces have also become important venues for consumers to discover brands. We continue to be bullish on these growing partnerships as we execute on additional opportunities to reach new customer segments. Papa John's premium brand positioning has been critical to the brand's out performance over the past two-and-a-half years, as we've been nimble and adapted our strategy to a constantly changing environment. It's no less important today as we adjust to a new more inflationary, uncertain environment with rising costs and consumers increasingly seeking out value. As consumer sentiment continues to soften, I'd point out that pizza offers tremendous value relative to other QSRs, fast casual and dining -- casual dining concepts. For this reason, the segment has been historically resilient through past economic cycles. Because we invest in better fresh ingredients, toppings, and dough, consumers recognized a superior value in Papa John's pizza already. At Papa John's, you can feed a family of four a delicious premium meal with a pizza on the side for under $7 per person. Papa Rewards is also a very important tool using to target more price-sensitive customers with high-value promotions. At the same time, we will continue our successful strategy of letting our customers, especially those who are less price sensitive to self-select into our premium priced innovation. All of that being said, with this unprecedented inflation, we have begun to take some pricing. This has helped to offset higher food, labor, and fuel costs in our supply chain and restaurants. As I've said before, unlike most of the QSR industry where ticket growth over the past couple of years has largely come from pricing, Papa John's ticket growth has predominantly come through new premium products and add - ons. This has afforded us more room to strategically raise prices in this inflationary environment. Furthermore, Papa John's has unique pricing flexibility given our value proposition is focused on delivering premium value, not hitting specific low price points. Last quarter, we're able to successfully raised prices by approximately 7% on average in our corporate stores to offset inflation on our food basket. This contributed to higher ticket, as did the continued mix benefits of premium innovation like New York Style Crust. While higher pricing marginally impacted transaction last quarter, we will continue to pursue a balanced approach, weighing short-term margin optimization against the retention of the significant customer base and momentum that we have built over the past two years, which is key to our brand's long-term success. Overall, I feel we're in good spot today and well-positioned to sustainably grow ticket and transactions through innovation while using our pricing power to manage margins over the long term. Now, I'd like to comment on staffing and operations. Of course, we could never have achieved last quarter's solid results without the tremendous hard work and commitment of our team members and franchisees. That said, staffing is always a challenge in our industry and continues to be so. In addition to our integrations with the aggregator marketplaces, our nationwide integrations with deliveries of the service providers have been a key tool allowing us to continue to serve our customers during peak times. Though these delivery-as-a-service transactions are a slightly lower margin versus using our own drivers, they are incremental, profitable orders that otherwise may have gone unfulfilled. Papa Call, our centralized order taking and customer service center, is another example of our long-term investment to make our team members productive and help them focus on making and delivering great pizza. We will continue to invest capital and technology innovations that can make our teams more productive. Looking ahead, we remain focused on continuing to hire great employees and reducing turnover by providing competitive compensation, a great working environment and benefits, and compelling career paths. Our goal is to be the employer of choice in our industry. And we've taken many actions to create a strong culture and support our people. Earlier this week released our 2021 corporate responsibility report outlining our progress against our priorities to create a positive impact on people, pizza, and the planet that sets us up for long term success.
Chris Collins: I'm proud to say that this year Papa John's is the first major publicly traded pizza chain to announce that our executive compensation plan now includes ESG metrics. We also continue to add experienced talent to our team. We're excited to have Joe Sieve join our team this week as our new Chief Restaurant Officer. Joe brings deep experience in the pizza industry as an operator himself and as a senior brand executive, as well as a QSR development leader. We're looking forward to accelerating the great progress we're already making with staffing and operational excellence in our corporate franchise restaurants with Joe's leadership. Now, turning to Papa John's strong development results and accelerating unit growth. We are very pleased with the 62 net new units we opened in the first quarter when development is seasonally at its slowest. Last quarter, we also announced a strategic refranchising of our 51% stake in Star Papa, a 90 restaurant joint venture in Texas, the Sun Holdings. This was a follow-on to the historic development deal we signed with Sun Holdings last summer for them to open a 100 new restaurants across high-growth markets, primarily in Texas. Refranchising is a very attractive strategic option for us. It allows us to attract well capitalized, sophisticated operators and offer them a significant operational scale they need to quickly accelerate their growth in the Papa John's system. This refranchising deal with Sun Holdings is a perfect example of this strategy. I'd now like to spend a moment discussing our international business for Papa John's has its biggest long-term whitespace and growth potential. I'm very excited that our Chief Development Officer, Amanda Clark, is expanding her role to now also lead our international operations as Chief international and Development Officer, working with Liz William's who has been promoted to Chief International Operations Officer. Amanda will enhance the integration between our North American and international businesses, which will be critical as we look to accelerate growth and create efficiencies globally. I also want to thank Jack Swaysland, our Chief Operating Officer of international, who is retiring after 16 years. Papa John's would absolutely not be the global brand we are today without Jack's energy, dedication, and hard work. I'd like to wrap up with a few comments on Papa John's outlook for the remainder of 2022 and the long term. As I've discussed this morning, while the global operating environment and economy is currently volatile and challenging for many industries, I'm as confident as ever that Papa John's is well-positioned to sustain our industry out performance in the short-term and continue moving forward to realize our full growth potential own goals for the long term. In the short-term, given strategic pricing actions to offset higher commodity costs and continued innovation to engage and deliver value to our customers. We expect North America comparable sales to be slightly positive in Q2 and to continue to be positive in the second half of 2022.
Robert Lynch: For the full year, our outlook is for positive comp sales on top of a record 2021. There's a sign of our confidence in the resilience of our strategy and our ability to execute that this outlook is consistent with a view that we laid out last November under very different macroeconomic circumstances. Our strong unit growth results for Q1 give us even more confidence in our accelerating development outlook. As a result, we are raising our outlook for unit growth in 2022 to 280 to 320 net units, from 260 to 300 previously. This is a 7% increase at the midpoint. Even more significant, we're also excited to provide a new multiyear development goal. Based on the strong pipeline of current deals, as well as new markets where we are actively in discussions, our goal is to grow global net new units by 6% to 8% annually for fiscal 2023 through 2025 continuing the acceleration we saw in 2021 and expect in 2022. Combined with our raise 2022 outlook, this equates to a goal of 1,400 to 1,800 net new Papa John's restaurants worldwide by the end of 2025. And this is just the beginning. Beyond this goal, fast development whitespace still remains for us. I'll now turn the call over to Ann to discuss our financial results, as well as provide some more color on our outlook. Ann?
Ann Gugino: Thanks, Rob, and good morning, everyone. Papa John's began 2022, solidly. While navigating significant headwinds. We continued our outperformance and grew on top of last year's record first quarter. In addition to sustaining our top-line growth and the brand's strong momentum, we've also taken decisive steps to protect our margins and earnings in the face of increasing inflation, as I'll discuss in more detail this morning. Beginning with our P&L, for the quarter system-wide sales were up 5.3%, excluding FX, accelerating net unit growth contributed approximately half of our systems global growth in addition to solid sustained comp sales. In North America. Comp sales were up 2.8% across franchisee restaurants, and down 1.2% and company-owned restaurants. The difference largely reflects localized differences in the economy and labor market exacerbated during the AMARCON wave in January. In markets with both franchised and company-owned stores, we saw similar performance. International comps were up 0.8% this quarter, reflecting solid performance in Asia and Latin America. This was partially offset by softer results in Europe related to regional short-term supply chain and inflation headwinds. The impact was strongest in the UK, which is our largest international market and where we also own and operate the commissary. Consolidated revenue rose 6% to $542.7 million, driven by positive comp sales and unit growth, as well as higher commissary revenues tied to higher commodity costs. Turning to margins, Q1 2022 operating income on a GAAP basis was $14.4 million net of $30.8 million in pretax special items. These included, first, a one-time non-cash charge of $8.4 million associated with the strategic refranchising of our interest in the star Papa JP to Sun Holdings. Second, a $17.4 million in one-time non-cash impairment expenses related to the conflicts in Ukraine and subsequent international sanctions. And third, $5 million charge for a legal settlement. These results compare to GAAP operating income of $46.9 million a year ago, which included 3.9 million of special items related to the company's strategic reorganization. Excluding these items, adjusted operating income for the quarter was $45.2 million compared to $50.7 million a year ago. Q1 adjusted operating margins were up sequentially from Q4 to 8.3%, but below our record 9.9% margins a year ago. I am proud that these results are in line with the outlook we provided in February, in a less challenging commodity environment before the uptick in inflation we saw in March. The year-over-year change in margins was driven primarily by the domestic company-owned restaurant segment, which were impacted by a 15% increase in food basket costs year-over-year. Labor costs, including those associated with increased third-party delivery usage, were also up in the quarter. Together, these factors represented approximately 600 basis points of headwind for segment margins year-over-year. On a consolidated basis, these factors were an approximate 200 basis point drag on Q1 corporate operating margins. Strategic pricing actions successfully mitigated the impact of inflation on a per transaction level. But we also saw reduced fixed cost coverage given the modest decline in transactions. I want to reiterate Rob's point made earlier. When it comes to pricing, we are committed to taking a balanced approach. We will surgically use pricing to manage the short-term margin impact of higher commodity costs while being mindful of retaining the strong customer base and momentum we built over the past two years. Commissary revenues rose 13% in Q1 driven by higher commodity and labor costs. As a reminder, our commissary arrangement with North American franchisees, generally speaking, passes through food, fuel, and labor costs on a cost plus fixed percentage margin basis. This means that rise in commodity costs are slightly accretive to commissary operating income but dilutive to consolidated operating margins. This quarter, this factor negatively impacted consolidated adjusted operating margins by approximately 35 basis points. Continuing to earnings, for the quarter on a GAAP basis, earnings per diluted share were $0.29 versus $0.82 in the prior-year period, including $0.66 and $0.09 in special items this year versus last. Excluding these special items, Q1 adjusted earnings per diluted share rose to $0.95 from $0.91 a year ago. Primarily reflecting the positive impact of last year's investment to repurchase and convert the Series B convertible preferred shares, as well as the excess tax benefit from vesting of equity awards, partially offset by lower operating income and higher interest expense this quarter. Now, turning to cash flow in the balance sheet. Cash flow from operations was $25.4 million in Q1 compared to $63.2 million in the prior year period. Reflecting unfavorable working capital changes primarily due to timing of interest payments and franchise royalties. As we announced last quarter, we continue to scale our investments in high return growth opportunities in line with our strong outlook, capital expenditures were $10.2 million up from $$7.1 million a year ago. Reflecting lower timing-related cash flow from operations as I just discussed, free cash flow for the quarter was $15.2 million compared to $52.7 million in 2021. We ended the quarter with strong liquidity over $545 million in cash and borrowing available under our revolving credit facility and continue to have a conservative growth leverage ratio of 2.2 times. We also continue to return significant cash to our shareholders. We repurchased $32.7 million in shares with an additional $23 million repurchased after the quarter as of April 29th. In total, we have repurchased over a $0.5 million shares since the beginning of the year. We also paid out $12.6 million in common dividends during the quarter. I'm so proud of our team. In a constantly changing in environment, Papa John's continues to deliver solid operational and financial results. Now, to expand on Rob's comments about our outlook. Coming off positive top-line performance in Q1 against record prior-year comps, we continue to have a positive outlook for the remainder of 2022, as Rob outlined. With the launch of Epic Pepperoni-Stuffed Crust, modest price increases, and a continued focus on delivering innovation and value to our customers. We expect Q2 North America comp sales to be slightly positive and continue to be positive in the second half of the year. As for international, we expect Q2 comp sales to reflect continued softness in the UK related to the regional headwinds we saw accelerate in March, which are expected to impact the full quarter. Our current outlook for the food basket is for costs to be modestly higher in Q2, reflecting the full impact of March's, acceleration of inflation and rise 12% to 14% for the full year. Based on this outlook, we expect adjusted operating margins in Q2 to decline sequentially in line with higher anticipated food costs for the quarter and recover sequentially in the second half of the year. For the full year, we currently expect operating margins in line with Q1. We continue to target fiscal 2022, CapEx of between $75 million and $85 million as we invest in technology innovation and the development of new company stores. Full-year net interest expense is expected to be between $23 million and $25 million based on moderately higher borrowings to invest in growth and return cash to shareholders as we laid out last quarter. We expect the tax rate for the remaining quarters to range between 20% and 22% and for the full year to be between 18% and 20%. To wrap up my comments. I'd like to zoom out beyond short-term headwinds and reiterate Papa John's long-term opportunity, which is to drive steady earnings expansion by sustainably outperforming in an attractive global market that offers significant whitespace. As we've discussed on this call and previous ones, we continue to demonstrate that Papa John's has built a model based on our differentiated positioning, winning innovation, and compelling value proposition for sustainable comp sales growth. With strong AUVs and a robust pipeline, our development outlook has never been stronger as confirmed by our raised 2022 outlook for 280 to 320 net new units and our new multi-year outlook for 6% to 8% growth through 2025. Papa John's long-term potential is very exciting. I'll now turn the call back over to Rob for some final comments. Rob.
Robert Lynch: Thanks, Ann. Since its founding, Papa John's has been the better ingredients, better pizza company. Two and-a-half years ago, we laid out our purpose, values, and strategic priorities, which has sparked an incredible transformation of our company. Today, in a very different world, Papa John's differentiated positioning, innovation culture, and focused strategy are still the secret sauce driving our outperformance and long-term outlook. As we have done for the past two and-a-half years, we will continue to carefully manage short-term opportunities and challenges always with an eye toward the brand's long-term potential. Today, our system is healthy and strong, and I am more confident than ever about the future. As always, I'd like to thank our shareholders and everyone on this call for their interest in our company and for their continued support. With that, I'll turn the call over to the Operator for Q&A.
Operator: Thank you.  Our first question comes from Eric Gonzalez with KeyBanc. You may proceed with your question.
Eric Gonzalez: Hey, thanks for the question. Robert, I want to talk about labor availability for a second. In more than one of your competitors has called out driver shortages and think we're also hearing it from the rideshare companies in the third party delivery aggregators. Your opinion, has the issue gotten worse in the last several weeks? Clearly, Papa John's being the only large team to really embrace the third-party order fulfillment has had a competitive advantage and its ability to satisfy demand. But I'm wondering if even the third pride channels becoming less reliable solution. If there aren't enough gig workers to supplement the first-party network. And maybe if you could touch on how that third-party mix, whether it's delivery as-a-service or the marketplace orders. How that mix has trended over time. Thanks.
Robert Lynch: Thanks for the question, Eric. I would tell you that our staffing in particular, our drivers staffing has been a challenge for us for over a year now. Omicron in January exacerbated that challenge more so than we had ever experienced it. But I would tell you right now we feel pretty good about staffing. We feel like our investments and productivity tools for all of our employees, both our inside employees as well as our drivers, and our partnerships with the aggregators, both on the marketplace side as well as a driver as a service, have afforded us what we need to meet the needs of our customers. Do we think that our comps could be even higher if we had more staffing? Absolutely. Do we think that we're going to be unable to deliver on what we have laid out here as a result of staffing? No, we don't. We are confident in our ability to take care of our customers, and I can tell you one of the things as we thought a lot about this, is I've read that competitors notes the last week or so, our model is a little different. Our premium positioning is a different model than the folks who are talking about staffing such a challenge. Their staffing challenges are exacerbated because their model is low price, more transactions. With premium price, we don't need quite as many transactions and therefore, we're less impacted by the staffing challenges that we're all seeing. So I hope that gives you confidence in our ability to continue to staff our restaurants and continue to meet the needs of our customers.
Eric Gonzalez: Thanks. It's a really good point. Thanks.
Robert Lynch: Thanks, Eric.
Operator: Next question comes from Brian Bittner with Oppenheimer. You may proceed with your question.
Brian Bittner: Thanks. Good morning. Congratulations on impressive results and outlook in this obviously difficult operating environment. Ann, I wanted to go back to your comments, your margin commentary suggested for the full-year still pretty strong margins given the inflation, but maybe 50 basis points lower than what your previous outlook was, if you could just maybe confirm that. More importantly, the question is, do you still believe despite the inflation that you have the tools to drive the EPS growth of the company in this mid to high-single-digit range that you laid out last quarter?
Ann Gugino: Sure. So you're getting the numbers right, as you've recapped them for me. Certainly we're very pleased with our margin performance in the quarter, and the fact that we were able to deliver those results in line with the outlook we provided in February before the increase in the commodity environment that we saw in March. So you are getting the numbers right in terms of the pressure that we're seeing. Looking forward that incremental headwind, we are calling the margins down slightly versus prior year so that 50 basis points is in the right neighborhood. In terms of EPS growth, we do have the step-up in interest expense because of the refinancing, which gives us great optionality and flexibility and it's at a great rate, particularly as we look out at the interest rate environment. But because of the unwinding of the swaps, there's a little bit more interest rate pressure in the current year so I do think for the full year, our EPS will be down slightly versus prior year.
Brian Bittner: Okay. Thank you for the color.
Operator: Thank you. Our next question comes from Chris O'Cull with Stifel. You may proceed with your question.
Chris O'Cull: Thanks. Rob, it's encouraging to hear that you expect second quarter comps to be slightly positive. We've heard many peers talk about a week start to the second quarter. So I was just wondering if your guidance assumes comps will improve through the second quarter, or is the system kind of running at this level today?
Robert Lynch: So what I would tell you is that April was a challenging month in terms of the business environment in general, both on the cost side and the comp side. But I highlighted in our notes that the launch of Epic Pepperoni-Stuffed Crust has gone extremely well. And it gives us a ton of confidence in our ability to guide to positive comps in Q2.
Chris O'Cull: Great. And then several competitors haven't been utilizing the 3P drivers as a service, it's kind of a release valve, I guess when they're struggling to meet demand. How much has that helped Papa John's keep up with demand this quarter?
Robert Lynch: It's helped a lot, it's helped significantly. January was the most difficult operating environment I've seen since I've been in this industry. We had -- for the first time, we had multiple members, team members in almost every restaurant out at the same time, which created a real challenge for us to be able to meet the demand that was on the business. If you recall, I mean, that's when we launched New York Style. We have a lot of demand and it was really challenging. And so we leaned heavily into our partnership with DoorDash, particularly on the delivery of the service side. And it was -- it saved us. And so, as a team, we look back on the decision three years ago to make the investment in fully integrating with DoorDash in the delivery as a service capability. As one of the very pivotal decisions that we've made as a team. And it absolutely, where no one expected or foresaw staffing challenges that we were going to have over the next three years. That decision has definitely helped us to outperform.
Chris O'Cull: Great. Thanks.
Robert Lynch: Thank you.
Operator: Thank you. Our next question comes from Peter Saleh with BTIG. You may proceed with your question.
Peter Saleh: Great. Thanks and I appreciate all the color on the call. Rob, you guys picked up a little bit the development guidance for this year and stated for 23 to 25, 6 to 8%. Can you give us a little bit of a sense on how that breaks out especially in the out years in terms of development between domestic and international development?
Robert Lynch: I mean, hi Pet this year, we're targeting our midpoint is right at 300 and about two-thirds of that a little more than two-thirds of that are going to be international. And we don't see that ratio changing dramatically in the out-years. International obviously as where most of the whitespace is, but we are building momentum domestically as well so the growth rates on both of those businesses will be horrible, but the absolute number of domestic units opening is always going to be in that, call it 25 to 35% of the total, is what we're projecting.
Peter Saleh: Great. And then I think you guys mentioned Papa Call. Can you give us an update on where you stand with Papa Call? How many stores? And the benefit that you may have seen from that call center in the quarter?
Robert Lynch: Yeah. So all of our company restaurants are on Papa Call. And as the domestic system, a little more than half of our total restaurants are on Papa Call. And we anticipate that number are continuing to go up. As highlighted on this call and the competitors call over the last week. Staffing continues to be a challenge and as we continue to invest in tools to increase productivity in our restaurants. And as labor becomes more expensive, those tools become more valuable. So our goal is for our entire system to be on Papa Call at some point. So it's definitely a tool that's helping our restaurants operate at a higher level of productivity.
Peter Saleh: Great. Thank you very much.
Robert Lynch: Thank you.
Operator: Thank you. Our next question comes from Lauren Silberman with Credit Suisse. You may proceed with your question.
Lauren Silberman: Thank you very much. I wanted to ask about price. I think you said you took 7% in corporate stores during the quarter. When did you take the price? And how does that compare to what franchisees are running? And then I think you had mentioned the price increased marginally impacted transactions. Can you just contextualize how the elasticity to price compares to what you've seen historically?
Robert Lynch: Sure, Lauren. Franchisees got out in front of pricing a little bit faster than we did. That's impart explanation for why we saw some disparity in their comps in the back half of last year relative to our comps and even in the Q1. But at this point I think our price increases are pretty comparable to the same rate as where franchisees are. We're seeing about the same rate of growth there. And then the second part of your question. Can you remind me with the second part of your question?
Lauren Silberman: Yeah, sure.
Robert Lynch: 
Lauren Silberman: Yes, exactly.
Robert Lynch: We have seen a little bit of a change in the curves. We've spent a lot of time recently over the last year building out our revenue management capability. So we have a ton of data as you know, given our e-commerce model. So we track every transaction and we're able to really leverage all that data to build a very high-level analytical tool in our revenue management capability to understand elasticity at the market level, even down to the store level. And we are seeing that curve get a little bit -- we have seen the curve get a little bit steeper over in 2022 than it was in 2021. They're pretty consistent with the changes in consumer sentiment and some of the other macroeconomic dynamics.
Lauren Silberman: Thank you very much.
Robert Lynch: Got it.
Operator: Thank you. Our next question comes from Alexander Slagle with Jefferies. You may proceed with your question.
Alexander Slagle: Hey, good morning. Congrats. Just wanted to follow up and get your views on consumer sentiment and any potential changes. You're seeing the lower income consumer habits if you have ways to slice and dice your consumer and transaction data -- you have a lot of it, and look at frequency and check dynamics and maybe even revisit how much the trends have been impacted by stimulus in the past.
Robert Lynch: Yeah, Alex, I think the stimulus did have an obviously have an impact in one last year. We're up over 26% last year in one. So that all lot, some of that, obviously with our innovation when we launched Epic Stuffed crossfit, there was definitely some tailwinds there. As we look at this quarter and into Q2, though I will tell you both of our innovations that we've launched this year have been premium priced innovations. New York style was at $13 and epic pepperoni is at $14. Those are both higher price points than our average price per pie in our business. So and we're seeing great pickup on those products. So we have not seen a transfer into the value segment of our menu. We're still seeing strong adoption of our premium priced innovation. That being said, we are making a concerted effort primarily through our loyalty programs to never targeted value propositions to what we have identified as our most value sensitive customers. So we do use that data to segment our customers based on their price sensitivity. And we are being pretty surgical and making sure that we're still giving incentive for the more price conscious customers to come back more often.
Alexander Slagle: It's helpful. Thank you.
Robert Lynch: Got it.
Operator: Thank you. Our next question comes from Dennis Geiger with UBS. You may proceed with your question.
Dennis Geiger: Great. Thank you. I wanted to ask Rob about the category you're looking ahead. It sounds like you -- you're pretty positive on the category as things stand today and even if consumer spending rolls over just the value in the category, it seems like you view that favorably. I'm curious if any change in how you see the category this year now versus a few months back, we're -- or six months back let's say. And I guess more importantly, as you think about category share gain, given what we've seen from you folks over the last several years but given the new product lineup that -- the pipeline that you have, the third-party aggregator working and all the work you've done with the brand, how you think about category gains from here. Can we continue to see gains given the multi-year gains that we've already seen from a share perspective? Just curious if you could provide some context around that. Thank you.
Robert Lynch: Great questions, Dennis. We here at Papa John's are just like perennial optimists or what, but, there's a lot of doom and gloom out there right now. Obviously, there's a lot of changes happening, both in the economy as well as the geopolitical environment. But, we are bullish. We feel great about the model that we've built over the last couple years. We feel like there's a lot of demand out there for our products and for the category. And so we're continuing to invest. We've invested more capital over the last six months than we've invested ever before. We're continuing to double-down on our innovation. As I highlighted in the call, we've got more big products coming throughout the balance of the year. So we do see a lot of upside left in this category and, obviously, we're not naive. The inflationary environment that we're all dealing with definitely challenges the bottom line. But we just lapped a 26 2 with -- positively in one of the most challenging operating environments that we've ever operated. So we are bullish on the category. In terms of share, we've taken some share over the last 10 quarters with 10 straight quarters of outperformance. We don't see any reason why that's not going to continue. We have a lot of respect for our competitors, but we do feel like we built a model that differentiates us and it's going to afford us more flexibility as we go into some of these more cyclical economic situations to take pricing as well as the continue to innovate and take more share. So that's how we're thinking about it. And then lastly, I would tell you, Dennis, our unit growth is accelerating. So part of the share in this category, obviously driven by comp sales but just as much of the share is driven by development. And we are accelerating both our domestic development as well as our international development. So we think there's a lot of share for us to garner.
Dennis Geiger: That's great. Thanks, Rob. And if I could ask just a quick follow-up, just on the operations and staffing drivers, you spoke to it quite a bit already. But just as far as anything specific from here that you folks feel, maybe you need to do. Are you in a good enough place where you don't have to, sort of, turn the model or kind of how you look at hiring as a system upside down, or are there bigger changes needed from a staffing driver perspective, be that wages, total compensation or otherwise to address the challenge, if you have any thoughts there? Thank you very much.
Robert Lynch: You're welcome. We are in a better place today than we were last month and a much better place than we were four months ago from a staffing standpoint. That being said, we're still not in an ideal place. So we're not necessarily turning everything upside down, but what I will tell you is we are investing in technology, both to help recruit and retain employees, primarily drivers. We've invested a lot in applications that are going to help our drivers become more efficient and make more money as a result of that efficiency. So more to come on that as we get further down the path, but our plan is to leverage technology to help our drivers make more money, which will then increase the rate at which we can retain them.
Dennis Geiger: Thank you.
Operator: Thanks. Your next question comes from Brian Mullan with Deutsche Bank. You may proceed with your question.
Brian Mullan: Thank you. Rob, I'd be curious to your thoughts on how other large pizza competitors potentially partnering in a bigger weight with the aggregators could impact your business going forward if at all. Specifically, just curious from competition for your brand placement in those marketplaces and if there would be anything you could do in response. And I don't mean to insinuate in any way that the stealing source of your success to the country, you're firing in all cylinders clearly. But just curious to your thoughts because these are large competitors that seems like a dynamic situation that could be changing.
Robert Lynch: That's a great question, Brian, that we think about on a regular basis. Papa John's was the first brand to launch online ordering over 20 years ago. And now everybody obviously, has online ordering. I mean, we pride ourselves in the decisions we've made to move in the direction we've moved and I think it's a big part of why we have gotten, why we've delivered outperformance. I never understood why some of these brands weren't doing what we were doing. If they make that decision to change their strategy, we just got to stay focused on staying out in front. We've got a three-year head start. We've learned a lot about how to work most effectively and productively with these aggregators. It's not a perfect relationship. There were some bumps along the way that we had to work collaboratively with them to iron out, to get to an operating model in the customer service level that allows us to continue to leverage it at the scale that we do. So I think we've got a head start. I think we've got a great partnership with all of the aggregators and we need to continue to invest in those partnerships to stay out in front of the competition.
Brian Mullan: Thank you.
Operator: Thank you. And as a reminder, if you want to ask a  on your telephone. And please limit yourself to one question. Our next question comes from Brett Levy with MKM Partners. You may proceed with your question. Your line is open, Brett.
Brett Levy: It would help if I didn't hit mute. Just a couple of little tick back and then the strategic one. Would you be willing to share any color in terms of what percentage of your transactions are coming from your partnership with the aggregators and non Papa John's drivers. In addition to that, could you share any color on a little anymore incrementality from a health of the consumer basis. What you're seeing in terms of kick up and tick up, that tick up or tick down in check, add - ons, just numbers of items per transaction. And then just with respect to your technology, what kind of incrementality should we expect over the rest of '22 and into '23, and what kind of productivity enhancements do you think you can generate? Thanks.
Robert Lynch: So, Brett, unfortunately, we feel like the disclosure of some of those data points would be revealing some of our business to our competitor. So, we're not disclosing what percentage of our business the aggregators or how the composition of our check and transactions are in details. So, I apologize that we're not going to share that. What I will tell you is that looking forward, we need to find the right balance of pricing and productivity to get us through these challenging hyperinflationary times. And we're investing in technology to drive both of those, frankly. Our revenue management capability continues to get better, to get smarter, allowing us to be more surgical with our pricing decisions. We're working to not just at the macro level, but to build out the capabilities such that we can help our franchisees with their pricing decisions and not just at the DMA or regional level, but at the store level. So we're going to get better and better at pricing, we haven't taken a lot of pricing over the last few years, so we're kind of sharpening that skill set as we speak and we think there's a lot of value to be had there. And then on the productivity side, as I just mentioned, we're investing in technology to help our drivers be more efficient and more productive. Not necessarily from like a labor savings standpoint, but from the more deliveries, the more productive they are, the more efficient they are, the more deliveries they can make, the more time they spend on the road, the more money they make. So we are investing a significant amount of capital into technology solutions that are going to help us to retain more drivers by allowing them to make more money. So that's our strategy.
Brett Levy: Thanks. I had to try on the granular question.
Robert Lynch: No, I respect it. I really do. It's -- these are interesting times. The business model for us has continued to evolve over the last three years. And I'm just blown away by our teams capability to continue to adjust and on the fly to meet the challenges that we faced or take advantage of the opportunities and so we're going to continue to be flexible. Who knows what's right around the corner these days and I think we've proven our teams proven that they can persevere through these challenging times.
Operator: Thank you. And our next question comes from Nick Setyan with Wedbush Securities. You may proceed with your question.
Nick Setyan: Thank you. I just want to revisit some of the Internet commentary. I think you said you expect some softness to continue. Is there any way, to quantify that in terms of conflict you did with North America? And then, just -- when you think about the acceleration unit growth from the international side, where -- what market is that acceleration coming from and where do you continue to see strength?
Robert Lynch: Our international business is -- continues to become a bigger part of our holistic business as, as we continue to build 300, 400 plus restaurants internationally per year. That's going to mean that we have to have a solid foundation for that part of our growth strategy. And right now we've got it's 50 different markets, all of them have different dynamics going on. But what I will call out as we have some really strong markets right now, Latin America, the middle east, are great markets for us. Our biggest market internationally is the UK. UK is coming off plus 40 last year. And so we're seeing some real challenges there with some of the changes there. And I think their economy is being challenged right now by some of the same things that obviously the US is. And we -- one of the reasons for us to make the changes that we made in the international team, obviously, going to Jack retiring kind of triggered it, but we feel like we've got a lot of tools here in the US that could really benefit the UK and the rest of our international markets. And we probably -- and I think accountability for this, we probably haven't been as good of sharing those tools across the globe, and so the change that we announced this week with Amanda taking over is really all about creating more collaboration between our U.S. business, which we've developed a lot of productivity capabilities and our international businesses, so we can affect the types of things that we're doing here in the U.S. and bring those to the rest of the globe. So I do see a lot of strength in our international markets, they're really kind of that comp is depressed by one market which is the UK and we're very focused on the challenges that we're facing there and rectifying that situation here in the near future.
Ann Gugino: Yeah. I think the only color on quantitatively while we do feel like Q2, we called out some pressure in my comments for the full year, we do expect to be slightly positive, similar to the U.S. for the year and comp sales. And then you add that with the unit growth like Rob talked about in our international business will have system-wide sales growth in the high single-digits, low double-digits.
Nick Setyan: Got it. Thank you very much.
Operator: Thank you. Our next question comes from Andrew Strelzik with BMO. You may proceed with your question.
Andrew Strelzik: Thanks for taking the question. I wanted to dig in a little bit on expectation for the margin recovery in the back half of the year relative to the second quarter. And maybe some of it has to do with what you just touched on internationally, but I'm just interested in the drivers there. Is that food inflation cadence, UK recoveries, or something on pricing, or something else? And just how much visibility or confidence do you have in that outlook in the margin trajectory? Thanks.
Ann Gugino: Sure. I'll start by saying when you talk about the level of confidence -- a lot can change in 90 days as we just saw. So given where we are today and the outlook based on the intelligence that we have, it's a little bit of all three things that you mentioned. So we do expect -- we called out 15% food cost inflation in Q1 but 12% to 14% for the full year. So we are expecting some release in the back half of the year, particularly in cheese. So there is some release in food costs. I think the other thing that Rob talked about in his script is just our continued excitement about menu innovation. So we expect that to continue to drive the comp sales. So I would point to those two drivers as well as the international commentary that we just had is the main reasons that we're optimistic about margin improvement sequentially in the second half of the year.
Robert Lynch: There's potentially a little bit of pricing. As I mentioned, we feel really good about our ability to take the right amount of price without significantly impacting transaction, so those three things.
Andrew Strelzik: Great. Thank you very much.
Robert Lynch: Thank you.
Operator: Thank you. Our next question comes from Todd Brooks with the Benchmark Company. You may proceed with your question.
Todd Brooks: Hey, good morning. Thanks for the questions. One following up on Lauren's question, did you answer the question on the timing of when you took to 7% price increase in the quarter?
Robert Lynch: So we began taking pricing really in Q4 of last year as we started seeing the inflationary pressure, we accelerated that in Q1, and it really has been most of that came in the first six weeks of Q1. So and we haven't really taken a lot of pricing here in the last 12 weeks, as we've continued to see the business pick up and see the impact of the pricing flow through the P&L.
Todd Brooks: That's helpful. Thanks. And then Rob, you talked about just some signs of elasticity. I'm just wondering how it's manifesting itself. Is it a tax so things like Papa deal, which really works well as an attachment to an order? Do you see those dropping out of orders is assigned elasticity? Or is it more purely on kind of frequency of order?
Robert Lynch: Yeah, it's just transactions. Our order -- our items per order and our ticket have all been very strong. So it really is just some transaction softness and it's in that frequency line. We don't -- we haven't as we've called out, we've actually increased our loyalty program pretty dramatically already this year, so it's not like we're losing our most valuable customers. It just has been a little bit of frequency driving some transaction softness.
Todd Brooks: And then finally, you've talked about personalized offers through the loyalty program as a way to maybe reactivate the more value-oriented customer. Can you talk to early success? You talked about identifying elasticity. Is that tool working or do you pick the frequency up fairly quickly? Just trying to point to how effective personalization these offers are to reactivate somebody that's more value - centric. Thanks.
Chris Collins: Yeah, you got it. We've been very happy with the response to the loyalty program offers that we put out there. As I mentioned, it's a holistic strategy. It's not just sending coupons, although as offers are part of it, it really is about engaging them and making sure that they continue to think of Papa John's when they think about ordering pizza. And so, as we mentioned, we picked up 150,000 new customers just from offering epic pepperoni exclusively to our loyalty members. Things like that are really helping to bring in new loyalty members and then we leverage their purchase data. And it takes a little bit of time to get a real good sense of what they're going to purchase and it doesn't happen right out of the gate, purchased cycles like once every few months. So as we continue to bring in those customers and learn with their behaviors are and the purchase habits are, we'll continue to refine that model and get better at it.
Todd Brooks: Okay, great. Thanks.
Operator: Our next question comes from James Sanderson with Northcoast Research. You may proceed with your question.
James Sanderson: Thanks for the question. Just wanted to follow up a little bit on the commentary about driving steady earnings long-term. Wanted to talk a little bit about how you see a G&A or overhead spending if that line item is going to be managed to really lag revenue growth, or if you really foresee having to step up that investment to support the acceleration in unit growth if that line item is going to slowly contribute to the margin expansion going forward. Thanks.
Ann Gugino: Yeah. We absolutely believe that will be a contributor to the margin expansion going forward. So one of the things that we've been doing over the last couple of years is really investing in our development capabilities, investing in technology in different areas for growth. But at the same time, it's driving the sales growth. So we are able to grow it slower than the top-line and create leverage. Even in the current quarter, we did see if you take out the special items, our G&A was flat year-over-year and we got about 10 basis points of improvement relative to system-wide sales. So we are going to continue to challenge ourselves to find ways to be more efficient and productive and would expect that to be a driver per margin expansion in the future.
James Sanderson: Okay. Just to follow up a little bit. Should we expect if that basis-point improvement, should that continue to grow overtime? Is that the right way to look at it?
Ann Gugino: Yes.
James Sanderson: All right. Thank you.
Robert Lynch: Thanks, Jim.
Operator: Thank you. And I'm not sure any further questions at this time. I would now like to turn the call back over to Rob Lynch for any further marks.
Robert Lynch: Well, thanks again to everyone for joining us and for your questions this morning. We hope that you're as excited about the future of Papa John's as we are. Thanks to our terrific team members and our franchisees, we continue to deliver solid results and industry outperformance. As excited as I am about 2022, I'm even more excited about the long-term potential that we're building for this company. We look forward to reporting back to you on our continued momentum and outlook. Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.